Operator: Good morning, ladies and gentlemen, and welcome to the Blackbird plc interim results investor presentation. [Operator Instructions] Before we begin, we would just like to submit the following poll. And if you could give that your kind attention, I'm sure the company would be most grateful. And I would now like to hand you over to the team from Blackbird plc. Ian, good morning, sir.
Ian McDonough: Good morning. And ladies and gentlemen, thank you very much for joining this morning for Blackbird plc's interim results presentation. Today, we're going to take you through a lot of information. We're going to take you through product strategy, marketing strategy, talking to our early metrics and talk about what happens next. And of course, as always, have an extensive Q&A session. Before we start, I want to talk about one particular thing, which is where we are in the journey. We are on product market fit stage, and we've talked about this when we came in June and also back earlier in March. In our product market fit stage, we are learning. We are delivering features, still very basic features, actually, and we're learning from that data. We are not in our scale-up phase at the present time. Our product market fit stage is going to run into 2026 and it's at that point, that we will move into our scale-up phase. What's interesting about the product market fit phase from our perspective and from your perspective is that it's generally done, 99.99% at times in a private environment with VC-backed companies generally on the West Coast of the U.S.A. This is a very different scenario. This is a public company, that is taking place in the U.K. And as such, it's a rarity. It's an outlier. It's a possibility for us also to invest in something that is really potentially very, very special. I don't see Blackbird and elevate as part of Blackbird as being a 10 bag or a 100 bag. This is potentially an enormous return. This could be 1,000 plus bagger. And I think in that respect, it does come with risk and it does come with patience. If nothing is nailed on in this, and we'll do something that is ambitious and potentially industry-defining industry changing. So please make no mistake about what we are trying to achieve. But we are very close now in terms of our developments, certainly in terms of the length of time this company has been around to reaching that growth period to reach an ultimate growth period. So I think that I would finish my introduction by saying I have been meeting a lot of actual potential users recently. There are people who are working in teams that are people are making -- responsible for video on a day-to-day basis. And I've never been more confident that we have the right vision to elevate that we have the right product to elevate. Do we have the right timing to elevate to deliver into a huge global addressable market? So with that, I'm going to start the presentation and now I move on to the first slide. Sumit and I are going to be presenting today. I think you almost know him very well. He is our Chief Product Officer, and indeed responsible for a great deal of the vision that you are experiencing with elevate. Now we are starting a revolution. We are starting a co-creation revolution. This is something that we've identified with our ICP, which is founders, entrepreneurs and small businesses but by their very definition, they are working in teams. They are co-creating. But right now, there is no workflow that is anything other than a slightly archaic linear format where they're frustrated by this on a day-to-day basis. And just to give you an idea about the scale of that ICP in the North America alone are well over 40 million small or medium sized businesses and that's without the rest of the world being thrown in. So it's a huge potential market. And let's share a few words from recent events we've attended in the U.K. [Presentation]
Ian McDonough: Right. So obviously, [ I've lost a day ] there in Hertfordshire where we went a couple of weeks ago, but really rewarding to hear the feedback on people's first impression of elevate. It's got better since then where we gone through marketing events in the last few weeks where our people are, again, as I say, using collaborative processes on a day-to-day basis but have nothing that really satisfies their needs. So on the slide here, we've plotted our product road map on the lower axis there against the potential growth that we see, the growth that we're looking to deliver. This is really a guide to where we are today, which is pretty much halfway through our product market fit phase where features are delivering at pace and Sumit has some exciting news on that to talk to you about in a few minute's time to really take us to the next page, which, of course, is scale up into 2026. So some early leading indicators. Well, so I've got quite a few different range of numbers here. The first one is on -- in terms of sign-up users. We've got 110,000 signed up users now to elevate. This really shows that there is a problem in the market that we're looking -- that we are there to solve, right? It doesn't necessarily mean that we have to put the solution yet, but it certainly means there is a problem solution fit. In terms of conversions, we now converted almost 700 people into being paid subscribers. As you can see on the next number in terms of retaining those subscribers, then churn is suddenly a focus for us. Churn is something that we are already making sure that we address and that is mainly through new features, and features that are being delivered on a rapid basis, but also through alignment to our ICP and almost also to engaging those users along the way. Now we could have spent more money in the last few months on making sure that when we came to you this time that we had a high number of current paid subscribers, but it wouldn't have been money well spent, we're really now focused as a business on making sure that we're delivering the right features at the right time to improve that churn number to make sure that we are going to be spending the money the correct way. We've got 1,450 returning users in August, which gives us a really nice trickle of users to make sure that we have enough data to make sure our features are running well. And since launch, we've had an 81% increase in engagement. So that means that people that have come meet the product have ended up exporting a video at the end of it. So again, it is a really good idea that we are improving all the time with our features. And what we've done now is really trying to line up more with our ICP. Again, the ICP, just to remind us, is those founders, entrepreneurs, small businesses and small marketing teams that are a larger number and engaging those guys to use elevate on a day-to-day basis. A few -- a brief look at some financial metrics. We've had some quite good improvements here. We've had a 21% improvement in cash management over the year. So that is down to GBP 1.5 million in the half. We've had GBP 600,000 worth of revenue come in. It's slightly down on the Blackbird side. This is mainly due to some [ ideal ] losses, but also the non-repeating transaction happened in half 1, 2024. But the positive news is that Blackbird is now EBITDA positive in H1 for the first time. We also did a small top-up raise to take us through the product market fit stage over the summer of GBP 2.1 million gross proceeds. I'll now show you a short video, which is a rough cut of a YouTube video that will be released shortly, showing how elevate is a collaborative feature -- a collaborative platform for marketing teams and social media teams. [Presentation]
Ian McDonough: Excellent. So also got a sneak preview there on our first partnership and collaboration, which is with the London Cavaliers so more used to come over that over the next few months. So why is elevate needed? Why is elevate required? Yes, it's very simple to use, and that's a huge benefit to the people. And yes, it allows complete freedom to operate from the browser, which gives access and freedom of movements. But the most important thing is it's collaborative features. Collaboration is not just at a niche part of the way teams work. Collaboration by definition is exactly how teams work. And it's not just a multiplayer aspect of our platform either which is, of course, the [ jewel of crown ] that separates us out from really everything else. But the fact is that we have this incredible access to assets as well. So we can manage assets. We give immediate access to teams assets. There is no upload and download. And of course, there's instant review, which we just launched in the last couple of weeks and of course, the leaving of comments about asynchronous collaboration. So it's a much larger part of the workflow, they're just purely the multiplayer, but the multiplayer really does differentiate us from any other editing platform. But the integration with everything in the back end as well is hugely, hugely important. Now why us? This is the investment case really. Why would you invest in Blackbird plc because we have elevate? Well, first of all, we have the technology, and you've heard about the technology many times. This allow us for a fast manipulation of content under low bandwidth conditions in a browser, and that is completely game-changing compared to any other platform out there. And it's given us a massive head start in terms of just how we've managed to develop elevate and have it in the market. We've heard that many times before. I just want to focus on team for a second. Team -- I've never worked in the team that is as talented or as efficient as the team I currently work in. And that goes from everyone from Sumit and his product team to the development team to our marketing teams, they are exceptional, and we are really -- we're very lucky to have selected such an amazing group of people. And we are very active in making sure that we keep those people at the very best levels. And the other thing that is really important to mention here is TAM. As I mentioned at the very, very start, we've got a huge global addressable markets. And this global addressable market is not just video editors, this global addressable market is all the people that work with video. I saw an interesting anecdote recently about Uber is when Uber presented their initial investment deck. They estimated their TAM to be the entire taxi market of the world. But they got it wrong. They were out by factor of 8. It was 8 times bigger than that. Because before Uber, people didn't take taxis, it was too difficult. They took taxis once or twice a month, and now they take taxis two or three months a week. It's a huge, huge different proposition because it meant -- Uber made it so easily. Figma had the same situation. Figma have a channel that was very small when they first launched because no one has designer software unless that you were a designer. Now every one of the company has access to Figma because it's so easy to use, and you can review and approve and you can input on the design as the process goes along. Elevate is very similar. So when people came to us over the last few weeks and said, yes, we have one or two Adobe licenses in the company and then people send me the exports of products, I write back my feedback on e-mail, and that's how it works. Elevate will be entirely different. Elevate will be -- they will have access to that video directly, they will be a customer of ours, and therefore, our TAM is many times larger in fact, than the global video market today. It gives you a bit an idea about TAM -- about the investment case, right...
Sumit Rai: Hi, everybody. And so when it comes to products, I think I want to you on a little bit of a journey of where we started the product market phase where we are today and where we're going. So if we cast our eyes back to February when we actually put in the gateway and we sort of went out into the market. What we had put together was essentially an editing and collaboration capability. It was so crucial for us to get the collaboration elements built into the product early on. There's no way they can be added later and it's such a fundamental part of what we do. And this is something that people are only just beginning to understand is the importance of collaboration in the elevate story. If we were just building a video editor that was just trying to compete functionally with the desktop tools, we would have not much of a future because we'd be fighting against incumbent and we'd just be able to do what they can do, but they can already do it. What was so important for us to acknowledge that just like lots of other adjacent industries in design, in 3D, in accounting, in CAD and general marketing, products have come about that actually enable teams to work together to achieve something. That doesn't mean that everyone becomes Ridley Scott overnight. It doesn't mean that everyone is going to become a colorist, but what it does mean is that they can get involved in the process. So we put in place, as we launched what was not hugely available to everybody was a lot of that collaboration infrastructure. What we were light on and we were well aware of this was the general editing capabilities in the way effects. Our media management was very, very lightweight. Processing was -- we're lucky that we've obviously got the infrastructure and the experience from the original Blackbird product to help us. But that was also limited to a bit of a broadcast model, whereas we operate obviously in a much broader model. So we went to market with what we knew was the foundation of what we did. During that product market phase section that we're in at the moment, we've learned an awful amount from our users. The telemetrics that we have in the product tells us how people are using it. They tell us when they're using it, they tell us to what extent they use it, and it shows up where there are problems or misunderstandings in how the product works. For us, right now, the value comes from having small clusters of users in these customers, which gives us a really good indication of how it works in education or how it worked to finance or how it works over here. What we don't need is 10,000 users in each one of those sections. We get more than enough from the users that we have that are free users and of course, the paying users, which we can learn a lot more from because when you're paying for something, your behavior tends to be slightly different towards it. So when we've arrived at today, based on all the information we've understood, we've increased the collaboration capabilities, the recently released review mode has been incredibly -- has gone down incredibly well with users, we've increased some of the editing. What we've made a big move forward is on media management. As we know, we're not just building an editing tool, we're building a collaboration tool, editing and media management and we obviously have future plans for other things, too. But the media management is something that is almost impossibly done today. In fact, just earlier this week, we were with an analyst and their exact story was the hard drives for the projects that we get made for us just sit in someone's bedrooms stacking up over time. That was the exact words and you never see the active experience that we had from people. So we know that media management is an opportunity. It's a whole business in its own right. We are in our infancy of it, but we now have team folders within the projects themselves. And as of today, team folders will be released. So the entire team can have media management at the top level of the product, not just within each of the projects. Our effects and transitions, we have a lot of interesting things coming, but there's a lot of work that's happening behind the scenes that people won't have noticed. We've quite severely improved the way that the video editing is compositive within the product. And that's going to give us a lot of opportunity to use gaming technology to actually produce a much more advanced effects using the GPU on the computers, which is now becoming prevalent. This is incredibly important, especially for the low-end machines like Google Chrome. Of course, our accounts and payments were increasing the ability for us to manage people. It's also super important that we ensure that our way of managing our customers has done really well. During this period and up to this period of time, we had an unbelievably high availability. The system has been there. We've had minimal disruption. We've been able to identify where problems are lurking and we've been able to deal with them now before we have a much larger user base. So I'm incredibly happy with how this phase has gone. But of course, we're only halfway through the product market fit phase, and we've got a lot more to come. And this is where we see things moving when we get to the end of that phase. We will improve the collaboration further more, which we're really happy about. We will include more editing. You'll have noticed in the last week, we introduced fundamental editing tools like the preview in and out points. We've got a lot more of those to come. Our media management will be improved including things like search that you don't get in other products. And our effects and transitions are really going to come to life. Another area that was released just today and is only available as of about an hour ago, is the mobile upload capability. So anybody who now accesses -- from your phone, if you access to your elevate accounts, it will give you a web interface where you can upload content directly into a project or a team. We advise people share it to their home page, so they get the full experience of a progressive web app. And it's a great experience only at the beginning, we know that the mobile element will play a vital role in collaboration, and it will play a vital role going further forward in things like distribution. We're going to be improving our accounts and payments to incur different types of payment links as well as different types of accounts. And as I mentioned, our media processing will just improve further and further to cope with a much wider range of file formats. From an AI perspective, we've already introduced a very lightweight version of AI, but we've got lots of really exciting AI integrations with third-party companies coming. And that makes the beginning of our marketplace. It's only a small effort by the end of this, but it's going to be the thing that will be useful during the scale-up phase. Over to you.
Ian McDonough: Great. Thanks, Sumit. So on the marketing side, our marketing, of course, will naturally trail product because it's really important that we are data-driven that we can see that the product is delivering on the feature side, which, as you can see, is rapidly happening with such really exciting news happening with us a few days and even this morning. So we -- our market story started with search, and we started with search last September. Search totally did bring in a large number of users. But search doesn't lead to engaged users. And we wanted to make sure that we have engaged users as we go through this product market fixation. So learning was always going to be a little bit limited from those guys. So where we are now, we've broadened our marketing strategy out to include events. So building awareness to our ICP directly through events and PR as well. If you want to see some stories come out about elevate over the last few weeks and indeed through organic social videos. So there's been a lot of work done in the background on that as well where you've seen our team deliver our videos to Instagram. And our Instagram views have gone past 100,000 now. We've got over 2,400 users followers on Instagram. So it really shows that there's an effort there to make sure people come and understand elevate that they understand what elevate can do, what it's for and on our message. And as features start to land, we'll build out this further, and we'll really start to unlock over the next few months as we go through the final market fit stage, access to much larger audiences, audiences that will be evolved through partnerships and through influencers and through referrals. And referrals, of course, will be the start of that product-led growth as well. So this will all happen over the next few months and through the back end of the markets fit stage. So in conclusion, I'm going to finish the same way that I finished my intro, which is over the last few weeks, we've met a lot of people who are directly interested in elevate.io. And I've never been more confident in the fact that we have the correct vision to elevate.io that we have the team that can deliver elevate.io and we have that ability to execute over the next few months. So thank you very much, Ladies and gentlemen. We will now take questions. Thank you. Sorry, we're going to finish with a video that shows the portability and the accessibility of elevate.io through another Youtube Ad. So one second... [Presentation]
Operator: Perfect. If I may jump back in.
Operator: [Operator Instructions] I'd just like to remind you that a recording of this presentation, along with a copy of the slides and the published Q&A can all be accessed via your investor dashboards. [Operator Instructions] And guys at this point, if I may just hand back to you to read out those questions and give your responses where appropriate. And if I pick up from you at the end, that would be great. Thank you.
Ian McDonough: Thank you so much. Okay, I'll start and I'll read through the questions. First one is for Sumit. Can you please tell us what about your plans for the marketplace and the kinds of companies and services you are hoping to [indiscernible] in the early stages?
Sumit Rai: So the good news is, is we've already begun work on the marketplace in the things like the AI services that we've implemented are essentially like the market that are using third-party services. We don't have to have other companies buildings. We can build certain marketplace items ourselves that interact with other companies. In this case, OpenAI has obviously been our first partner. However, we are working with very well-established media companies who make things like visual effects in terms of how do we actually bring some of their technology into us and make that available to others. So it will be in the workspace visual effect, it will be in the space of data provided, obviously, the AI providers. And of course, distribution. So going out to other platforms, YouTube for instance, and we can do that work ourselves. We don't have to have them do it. But yes, we'll obviously -- as soon as we had established, we do want to have more and more companies, we want to take [indiscernible] and build the things themselves.
Ian McDonough: Excellent. Second question, I know Blackbird can help almost any type of team or creator, but having worked in creative agencies, it seems particularly ideal for that market. Have you considered positioning elevate as a video editor that's tailor-made for creative agencies?
Sumit Rai: Yes, I wouldn't say that we want to tailor-make it for any specific industry itself but it is a great use case. And we do believe that the creative -- we're already beginning to see creative issues that companies that we're working with ourselves as a company, seeing the value of elevate, even the people who worked with us to put together some of the marketing assets, the video that you've just seen are instantly seeing the value of the product themselves and we've been using, obviously, to build out the content. So definitely, the creative industries are going to be a market that we're absolutely going to want to go for. And we believe that the way we're setting up the product means that creative agencies can much easier help organizations that have elevated results with some of the higher end work and things like that. So it's a definite industry that we want to be working with.
Ian McDonough: It's a great observation. And again, it comes back to the collaboration point as well, which is creative agencies by definition, work in a team environment. whether it's just within their own team or whether it's with the clients. Some of the feedback that we've had over the last few weeks is that we've always talked about how elevate helps with speed and ease, it's more than that. It helps to make it bearable. I mean it's almost unbearable the way that the teams have to operate now today, whether that's uploading, downloading stuff and sending stuff like e-mail backwards or forwards. We've really thought about this process. Sumit's team and the product team have really thought about how this process should happen. What's the logical way this process, this workflow should happen? So yes, absolutely, creative teams are very much a part of our plan. We are delivering two ICPs where the features that we have today really resonates, and we will move towards creative agencies as we get further down the line. Question for Ian. During the IT presentation after the AGM in 2024, you stated, we want to build a company worth in the tens of billions. Today, are you more or less confident about that ambition and why? I mean I said it a couple times in the presentation, I'll say it again, I'm very, very confident. And the main reason that I feel confident is that on the product side and on the debt side, we've solved so many problems, we've created this product, it works beautifully. We are laying our features at pace and we are now in direct conversations with our ICP that are the people that will buy this product, the people that will use that product on a day-to-day basis, and they will talk about how this quarter works for them and grow the product there. So I've never been more confident about how this product and this company will grow. It is an excellent time, I have to say, a very exciting time. Question 4. My concern here is other tech companies are moving faster than us. We do not seem to be selling our product. And the sale side is failing because the product of the product developers -- failing the product developers. We are too slow. We are promised further news in September, which has not materialized. We need to update our information on the sales side to be more effective. I will revert back to the very first thing I said, which is we are in a product market fit phase. The product market fit phase allows us to be data-driven to make sure that we're developing the correct product at the right time for the market. We will scale-up in time, but we need to, at this point, get that product absolutely right. There is literally no point spending vast amounts of cash on a product that isn't ready for the market, to be scaled.
Sumit Rai: If I can add to that, sorry, for a SaaS company to accelerate in the wrong direction is a guaranteed failure. If you put -- if you don't have these clusters formed and understand where the earliest success is and then accelerate into them, and you just go into the whole market, you can't boil the ocean. It won't work, there's a catalog of companies that tried that and have just burned through cash and failed miserably at the tail end of that. And a great number of successes with companies that have gone about it in the right way and therefore, found their areas then lead into when they go to the scale up phase.
Ian McDonough: Excellent. Question 5. Could you give the current cash and short-term investment balance at the end of September?
Stephen White: Whilst we can't give you that cash balance because we're in a closed forum, and that would require an RNS. What I can do is give you an indication. We had GBP 2.3 million of cash and short term investment at the end of June. We've all seen proceeds of just under GBP 2 million from the fund raise subsequent to that period. And in the last quarter as well, our cash flow was a six figure number, so I'll let you do the math.
Ian McDonough: Thank you. Question 6, what's your goal for the product market fit stage in terms of users and MAUs and paying subscribers. The conversion of MAUs to payers has grown at 24%, while conversion sign-ups, 110,000 to MAUs so low, what precisely are you doing to address this metric? Well, our metrics really are going to be around engagement, around retention and around conversion. They are the key things that are really the leading indicators to whether that we'll make elevate a success. Yes, we agree that certain areas of the conversion are currently pretty healthy and some need focus. To answer the question about the 110,000 to conversions though, I will just pick up on that point, is that we started this in September 2024. We originally -- we were using our search budgets for a wide variety of markets, again, to learn, including India, including Philippines, and including other market. Where there wasn't a very high propensity to pay, but it was for data. And therefore, we wouldn't always expect those subs or those users to come back directly into pay subscribers. So there's a variety of reasons for different levels of conversion. I think we are at the point I would really have to leave you with is really about those leading indicators of retention of engagement and then conversion. Anything you'd like to add there, Sumit?
Sumit Rai: I think to reiterate the point that, as you pointed out, the conversion of the regular free users that we get is low that we would be managed for us to do more of that at this stage. And again, find those clusters, and timing those early adopters is the goal of the product market fit phase and at the back of that, we'll not only have the products that is relevant to them and more, but we will have a deep understanding of those users. And that's what we lean into.
Ian McDonough: Question 7. Why have we not released a player? Was advised as it was part of the overall elevate project, clearly, if we release the player by itself. In the past, many shareholders want it, maybe that would have increased the share of value as I understand the player would have been a successful tool that substantially increased revenues and share value. It's a double header for [ YouTube ] guys.
Stephen Streater: Player, we've been using it and the technology in the player, we've pushed straight out and elevate once it's been tested, and we've been using the player as a testing tools for the technology. Because what we want to do is to get elevate to be really finished and beautiful before we start diversify too much. But what we have decided is that we will make the beta player available to all users so that people can try it, and there's quite a lot of technology coming down the pipeline that we will be able to test in the player. So I think you can expect for the user to want to do it, which is quite a few, they will have access to it but the key focus has to be to get the editing function working and then we will learn almost like product solution fit stage with the player, what sort of things people are looking forward there.
Sumit Rai: You've also got to look at the order and the relevant buying order. The distribution capabilities of elevate are cream on the top of when where into the established market, they're not. We have to have that first, otherwise we're not going to have to users to warrant the use of the player. So right now, it's more important that the player is being used to build out the playback technology. The player division has pioneered the new way of compositing and the way that we're handling and working with things like the GPU, which will not only just help the editing process but will actually help the output -- the ultimate output. So it's a joint effort. And of course, the player is the testing bed for the new codec and the way we let things work in elevate. So we are -- it is happening, you just can't see it. But anytime you see a video playing back within elevate, you are looking at the player.
Ian McDonough: Thanks, Sumit. Question 8. Can the company explain why it has failed shareholders so badly to allow the price to have dropped so far and what is the remedies to restore shareholder value? Can we please, from now on, have target dates but the company agrees with shareholders to meet. Sumit, can we have [indiscernible] the outstanding features, which the shareholders want so if go to the next stage, when will we meet the prosumer stage? Okay. So I'll take that, there's a quite a few different points in there. Why have we failed shareholders so badly? Well, I mentioned before, we're in the product market fit phase, right? We're putting out information fairly regularly and numbers too to explain where we are with that stage. And what that stage really means to you guys as investors, but also to the customers, which are also important to us. And it really is about delivering features on a rapid basis and leaning from those. Now in terms of when we are going to start delivering those features, Sumit, I know that they're coming thick and fast, do you want to take that part of the question?
Sumit Rai: Yes, we -- the development process that we run through is an agile process where we make a release. It's a couple of times a week. It's just -- you don't always know about it because it's often things that are happening behind the scenes. And when there's obviously something notable, we do tell everybody and we -- the last couple of weeks, we've had a good cadence about one a week. Over the summer, things were slightly slower, but even before the summer, we were in the same process. It's really important that we don't rush junk out the door. The easiest place to kill our effort going forward is if we put products out if it's instable, not thought through and not good for users to use. We'll get absolutely nowhere. So whilst that might be frustrating from a shareholder point of view, it will only guarantee a further erosion of shareholder value if we actually are halfway -- 90% of the way through a bridge and it's the last 10%, well we'll just make it out of polystyrene, you can imagine what the outcome will be. So we're really going to stick to doing some things in the correct way because it's so important that we do the correct way for the users and if we do it the correct way for how our product will grow and have the future, just putting some in the market now that's under vision or not complete or incorrect with be catastrophic.
Ian McDonough: I think to finish this question as well. This is where I take the visionary investor is that we've derisked this product enormously. So we started off with a PowerPoint document back in 2022 and have now come to a functioning product that has audiences that has customers all around the world and works better than any of the product that even comes close to trying to do what we're doing. It has been a fantastic achievement, on behalf of the teams have worked for us. I mean I'm really proud of where we got to. Unfortunately, the institutions or at least a couple of institutions haven't recognized that, haven't seen that, that is something of an achievement and haven't seen that derisk. A number of them have sold out and that has been damaging to the share price. I think this is where the visionary of investors, and I hope we've got quite a few of these on the call is that look at the share price now, look where we've got to, right? This is an absolutely -- it's a huge opportunity for people to get involved with the stock right now, I have to say. Because, yes, we've come as far and we've -- we are so much closer to be able to show that growth. And if you understand what we're saying, what's Sumit saying about where the products has got to then I'm sure that you'll understand the investment case. But yes, it's a shame that the rest of the market, certainly some of the institutions haven't seen that.
Stephen Streater: We haven't seen them yet, let's say.
Ian McDonough: Correct. What is our relationship with [ Avid ], rumors was we are doing a deal with them? No. [indiscernible] We're not in the [ Avid ] area at this stage. We're very much in the greater economy and [ Avid's ] not out there. For Blackbird ex elevate, the second half of 2024 EBITDA was [indiscernible]
Stephen White: Yes. So for Blackbird elevate, the second half 2024 adjusted EBITDA was GBP 672,000 given a full year of GBP 490,000 is GBP 600,000 plus the expectation to second half adjusted EBITDA for Blackbird excluding elevate bringing it to 700,000 plus the -- plus for the full year after first half 1 of GBP 127,000. What I would say on that one is that yes, revenues year-on-year is not going to be the same neither is our cost base. We're not going to give our forecast by division at this stage. But as for the guidance that we gave in the RNS, we're expecting that Blackbird to be profitable for the second half of the year and the full year, too.
Ian McDonough: Okay. Next question is finance question as well...
Stephen White: Yes. The first half '25 [indiscernible] hasn't moved much at GBP 500,000 cases for 6 months. Can you break this down? Is this all salaries of how many people? It's principally the Board plus one other member, 80% of those costs are salaries and associated costs such as employers, national insurance. The other items in there are our cost being listed such as London Stock Exchange cost, or [ NAND ] costs, or audit cost, et cetera.
Ian McDonough: One more finance question, please.
Stephen White: Can you break down first half operating costs? Blackbird excluding elevate [indiscernible] have been halved, this all employee reduction. Yes, the vast majority is employee reduction on the Blackbird side, but also we have repurposed some of the team as our focus of reinvestment is on the elevate area.
Ian McDonough: Okay. So a lot of questions here. So could keep the questions a little bit longer, please. So we'll get through these questions. So first one, my question on the definition of product market fit the capital efficiency. The company is investing heavily to build features for the highly competitive professional creator market, yet there appears to be a clear product market fit stage with existing products in the enterprise sector. For instance, large finance institutions like Lloyds or Barclays could immediately deploy this for internal trading. You need to rapidly create and share videos on everything from new software rollouts to critical compliance update. This market represents immediate multi-seat license revenue. So could the Board explain strategic decision to price as a cash intensive development rates over pursuing these large-scale enterprise contracts to be landed now and what is the sales team actively doing to penetrate this corporate market?
Stephen White: Yes, so great question, really thought through, and let me give you some -- a little bit more clarity on something where you've said that we're targeting the higher-end creator market or [indiscernible] market. We're not. We've been quite clear that one of our big ICP is the enterprise sector. There is a slight difference in that you're quoting Barclays and Lloyds and we are more looking at the SMEs. And there's a very good reason for that because it may seem like, oh, we can just very easily deploy it there. Barclays and Lloyds are two companies I know very well. I've built their streaming infrastructure, I know exactly how you build video product within those organizations. And unfortunately, the procurement process to do that and the amount of hoops we have to jump through with organizations like that would not give us a quick-to-market ability to build revenue. We are more interested at the organizations that we've been meeting in the last two weeks at the technology and marketing forum and Ideas Fest organizations that can move very quickly. Barclays in Lloyds are absolutely our target at the right time. I know the people are, they've got auditorium, they have edit suites. I know the person who runs the video. So we absolutely want to be used in those organizations but getting in the -- as a cloud product, getting in and deployed within those organizations right now is actually something that would take longer. So we are going to be going to be focused on enterprise. We definitely see -- and this is very much the Figma story. Figma is promoted and loved by designers our freelancers and small agencies, but really they make their money out of Unilever. It's the 1,000 user -- sorry, the 1,000 customers they have that spend GBP 100,000 with them. That's our North Star. We definitely know that elevate, more than any other video editing products, will be able to scale into larger organizations and provide through their desktop editing capabilities. And it's a market, I know very well very passionate about, but not one you could just easily walk into.
Ian McDonough: Excellent Next question. My question is on the definition of product market fit and capital efficiency. Also that was a -- [indiscernible] I have a process question based upon yesterday's Barclays Eagle Labs presentation, when a marketing presentation and engineering presentation delivered by the same person with a clear barrier between the two so much so they called it out after finishing their marketing element. The presenter was obviously an expert in the engineering details, that seems less comfortable delivering the marketing message, which is the first part. I would agree. Thank you for the question. And I would say that yesterday's presentation didn't meet our normal high standards of our product that we put to the market. I think we've all learned a little bit there. And it is an excellent presenter when it comes down to the, as you call it, engineering, but on the -- actually the editing side of it. But yes, we've learned that we certainly should have a two-handed approach to that and make sure there's a presenter that can deliver the marketing messages proficiently as well but thank you for the question. And I was hoping you could elaborate on the evolution of your growth strategy. The aggressive exponential growth curve that we outlined back in May appears to have shifted back towards a phase focus on achieving product market fit. Was this slowdown a deliberate strategic choice to prioritize product quality and user retention over share acquisition numbers? Was it more of a reaction to the market headwinds. And crucially, what milestones must be reached before the next one expect a return to exponential growth? Great question. And yes, there was obviously early signs of exponential growth, which is fantastic. What hit us with the churn and therefore, we've learned from that churn and make sure that the new subscribers coming aboard and the new users and subscribers coming board are engaged users that align to our ICP. So I'll reiterate the key things that we're looking for going forward in terms of those metrics. Our retention of those subscribers is engaging with those subscribers and conversion into pay. Those are the key areas that we're looking at. They're the lead indicators of what we're doing. And yes, it is an early phase.
Sumit Rai: And I think that we could have continued the expenditure that we were making as such and continue driving through that, and we would have over 1,000 paid customers right now. We could have easily bought users. That doesn't help us. What helps us is we learn enough from the circa 350 that we have that are telling us and informing us about everything. We don't need 3x as many, that would have been too costly to acquire. What matters more is that as soon as we work with those 350, we'll you use the money we've got to acquire 2,000 rather than 1,000. So it really is about being disciplined and us pulling back where we needed to at the right moment rather than just for the sake of pushing a narrative that is still only in the hundreds, it would have been futile, it would have been.
Ian McDonough: So a linked question there, Sumit. With around 50% of all paying users having churn, what level of retention uplift do you expect once the missing features like captioning and mobile uploads and graphics go live? And when will those features be fully released?
Sumit Rai: Yes. So mobile upload, obviously just gone live. Captions has been very, very actively worked on, and we're hoping to see that by the end of the year. And we obviously are very -- well, there's a whole bunch of other features that are coming out especially in the graphics and animation space and transition space and there are others, by the way. And some of the graphs that show things, one of the biggest impactful things we've added recently was the Boundary Boxes. That was a very expected behavior that we wish we had sooner, and we've now put out there. All of these features, and we talked about quite a lot in the team recently, people come to us for the big features, but they stay for the little things. So just simple things like the folder management and relabeling things and some of those smaller features that we've neglected a little bit in favor of bringing in some of the bigger features. We now have a dedicated team that is going around ensuring that when people are in the product, they have everything they need. And churn is a result of them not being able to achieve what they need to do in the most convenient way and so we now have to work on the, okay, what is it we need to do to keep people on the products. We've learned a lot about bringing them in. What do we need to keep them in there? And what are the things that they absolutely need to get about doing their day-to-day. And how do we prioritize that. And like I said, we established a new team that is dedicated towards the smaller, more hygiene factor features that will help reduce that churn. And of course, in time, as we just had some of the bigger features that will also help reduce that.
Ian McDonough: I think the other point as well about the number of paying users is when we reported back in May, we were at half-price. And we could've continued to go half price and see that conversion change. But we're in a learning phase. So when you double the price of a product, you're just buying a new metric, you're just buying a new standard. And of course, we're just now by standard of $15, GBP 15, EUR 15. And as the exit survey tells us and people that churn tell us is that for that price, we still have the right features. So that is indeed the learning that we're taking on anyway, we're taking on and we're adding features all the time. So the next question is quite similar. You report 697 paying users but only 344 active. Does that mean that roughly half have canceled? Could you break down gross adds, churn and net growth? And do you see patterns? We're not going to give any further numbers out. Most of it can be done through triangulation of numbers, I think. But we are a company that has given quite a few numbers today. I know it's never enough. But the thing is we're giving far more information now than any other company that would do in a similar stage of development. As I mentioned before, behind closed doors in California. So remember, the numbers that we give out also go directly to our competitors. So it's always good to remember that when we're being asked the numbers. It's not just in a closed environment, unfortunately. But yes, indeed, as I said, the exit survey always points generally to the same thing. When we have more features realeased, we will sell. You spite missing features, captions, animated graphics mobile uploads [indiscernible] cancellations, which of these are the highest priority to deliver? And what is your timing for closing these gaps? How will you prioritize given limited resources?
Sumit Rai: Well, [indiscernible] available, captions are [indiscernible].
Ian McDonough: Okay. I think the next question is about product as well which is you have emphasized that collaboration is a key differentiator for Elevate. What is the average number of active users per paid account? And are most paid users solo part of multi-seat teams? Any information you can? I mean there's improvement but.
Sumit Rai: Yes, we're not publishing the number at all. What we have seen is that as we've increased the amount of seats that users or team is able to have, we're seeing further collaboration. The review user has brought in more collaboration as well. And again, because there's a lot of misunderstanding about this, that video editing traditionally is not a very collaborative process. We know that. That's why we're building a collaboration version of it. So much like producing a print brochure 20 years ago was left to a designer and then an art-worker and then it went to the printer. It's a very linear process and video is the same. We're doing the same with what we're doing. So we expect collaboration to grow as the product grows and the market grows for this and it becomes more available. And I think the previous question actually was slightly different than just product market fit. It was a little bit about the paid users. So it was, thanks for the update on the space. You're telling us what potential paid users could do know a little more about what it is that's coming in order to in the future of the product, why are you not telling people, more people about what's coming. Now that's a very fair comment. We've actually been discussing this recently. We used to run a podcast at the beginning where we did discuss things like [indiscernible]. We're bringing that back into some format. We're not exactly sure of the exact format of it, but we expect in the next few weeks to see a new format where it is more updates from me, [indiscernible], the engineering team and things that will be hinting at what is coming. And more importantly, not every one of you, especially as investors uses the product. So you don't necessarily know some of the wonders that have happened, like the feeling of the new Boundary Boxes or how the looks are working. You just maybe hear about them in brochure, but it will be an opportunity for you to watch this and actually see them in action and obviously discussing maybe some up and coming things. We're definitely going to keen to do that and look after our user base.
Ian McDonough: Thanks Sumit. Question statement, pricing strategy, keeping the early discount longer could have brought goodwill while the product matured. Yes. Thank you. That's a very good point. And to the point I made just slightly earlier is that we are in a learning phase, and therefore, we thought it was valuable to learn about how our product will be received at full price. But again, yes, I do think that's an interesting point. You featured a meeting with Boris FX, if you want to go on LinkedIn. Is there anything you can share on that?
Sumit Rai: Nothing to share other than we are obviously in constant conversations with Boris FX.
Ian McDonough: And how we utilize.
Sumit Rai: Yes, absolutely.
Ian McDonough: According to respective AFN members, adding mobile upload functionality to Elevate requires only a day of work for one person. Do you think that?
Sumit Rai: Well, we don't compare. It didn't take one day, but the good news is today is the day and it is available. So please take a look at it and then reimagine whether that was one day's work.
Ian McDonough: I have to say, yes, I think I would love to be able to take a finger around all these features just landing the product overnight. It will be amazing. You've got to remember that no one else has built what we built. And we built it in a very rapid amount of time. So yes, there is no global product like us. It's not easy. It's really not easy and the team are incredibly talented and incredibly working [indiscernible]. Thank you very much for that question. Ian, can you say a little more about the employee numbers and cutbacks that you mentioned in the interims, are features being delayed due to lack of developers? Yes. So we've really -- we are constantly being disciplined about cost. Cash is a concern for not just us, but every company in the world today, and we must be very disciplined about that. So we're reviewing, we review our teams all the time. I have to say that it's definitely not down to lack of developers that we are -- the products are arriving when they're arriving. I wouldn't say they're delayed at all. They're arriving when they're arriving and they're working at pace, and we have an exceptionally talented development team working on them. Great work from Kelly Kiara on the social videos. Give us off a round of applause, everybody loves you.
Sumit Rai: Thank you.
Ian McDonough: What do you consider to be your biggest threats to not realizing the amount of the TAM? I guess translating or not having enough marketing spend.
Sumit Rai: That is a worry that not being able to communicate to the market with the effectiveness that some organizations may have. I'd say that's probably a threat to us.
Ian McDonough: And the fact that not being able to explain the benefits of the product to a wider audience. And yes, that's true. As I said at the beginning, it's not a risk reinvestment. It's a potentially huge return.
Sumit Rai: Another one is the biggest threat to us not being able to realize a large amount of TAM if we go down a [indiscernible] angle. So if we build a product like most of the online products that are available today in this space. Remember, we still see ourselves as the only professional grade product in the space. Most of the players in this space have gone down very, very narrow, very limited market. That market, there's -- all of them are in it. So they've not only taken a very small, a little or [indiscernible] the large part of the market, but a very unwilling to pay part of the market, and then they divide themselves amongst themselves. So what we must do is say, right, let's just focus on this one thing over here. That would be a threat to us if we're forced, we force ourselves but we're forced into that space. All we're doing is limiting ourself for the onset.
Ian McDonough: Just to check over the question. I'm on question 36. How will you fund the business over the next few years given the small net new customer growth and the high cash burn without massively diluting your loyal and long-term shareholders given the share price of 1.9p and the market cap is sub 10 million. I think the key thing there is that we're building a revenue engine. And a revenue engine has to be profitable. You need to put one, you put a pound in and you get more than a pound out, it's profitable. If we can show that revenue engine working or we can show massive improvement towards that revenue engine working, then we have an investment case that we think is sound. We think we have visionary investors here and other places that will back that given the huge amount of opportunity there is in this [app]. So that's how we'll do it.
Sumit Rai: Can I ask the one about [indiscernible].
Ian McDonough: Good question. So according to technically a member, Elevate is a light version of the software you already developed Blackbird, so why are you taking so long? And could you develop Elevate from scratch in a few weeks?
Sumit Rai: So the answer is no, you couldn't have developed Elevate from scratch in a few weeks. Blackbird is actually a different product in a different market, although the technology has been applied directly to Elevate. And there's quite a lot of technology that hasn't yet been applied in Elevate that we'll be rolling out over time. So the key difference, if you think of it from a practical point of view, is that often in the Blackbird editor, you take 3 months to install it and [Whitebird] treatment to train people up. With Elevate, you can just come to the website and the feedback I've had from a lot of people is they can just sit down and use it. And so it's like a different audience and a different market and different level of support. It is a new product. But it has actually been accelerated a lot because all the Internet side of the technology has been ready made. And now we're moving on to GPUs. There's obviously synergy between the different parts, the different editors. In fact a lot of the work we've done is synergy between them for the new development. But the Elevate is actually a masterpiece in beautiful design and that reflects a different audience from focusing entirely on efficiency and people get paid to do it or they don't get a job versus creators who actually have aesthetic sense and they want a beautiful product as well as beautiful functionality.
Ian McDonough: It will be fair to say that packaging is also completely different. One is on premise installation and [indiscernible] process. The other is something that scales in the cloud and in a different market. The heart and the core compositing is absolutely identical. In fact, innovation sometimes that elevate drives end up back in Blackbird and vice versa. But also the truth is it's taken many years to develop the Blackbird product as well. So it's not something that wasn't built overnight, so there's no reason to elevate. But the heart of both products is absolutely the same. The packaging of them is different. It's like [indiscernible]. All right. Next question. Cal, you've made many short videos aimed at beginners. Are beginners a key part of the marketing reach.
Sumit Rai: Yes. So beginner and by the way, a credit to Kiara as well, who's been making a lot of videos and doing an amazing job, not just me. Yes. I think beginners are definitely a big part of it because elevate is being built to be a super intuitive, super easily accessible video editor. So we want to introduce elevate to beginners because it's so easy for them to get into it. And it's kind of like linking back to the Uber TAM story that Ian mentioned earlier, people that would have otherwise never -- video editors because the current offerings are just way too complicated, require heavy machinery. They are giving video editing a shot now because elevate is making it so accessible and so easy for them to get started. So yes, beginners are definitely going to be very important for us.
Ian McDonough: Thanks [indiscernible]. Do you see the instant review tool as a way to help the virality of elevate.io?
Sumit Rai: Yes. Definitely, it's the way in which people will -- their first touch will probably be for the foreseeable future, the most likely way that you'll use Elevate for the first time will be as a reviewer. We definitely know that, that will be part of our viral flywheel, and it's a great way to get it into people's hands. Frame io had exactly that same experience. Most people's Frame io experience started with receiving a link and being able to review something. So yes, it's a big part of our strategy.
Ian McDonough: Will you need further funds to the scale-up phase? Our ambitions are topic. Our missions are industry changing. And yes, we will need more funds in the scale-up phase, but we will be taking our revenue engine to the market for that revenue phase for that scale-up phase. How often will you be communicating the update of your leading indicators to shareholders and investors monthly question mark. I think we'll be taking our leading indicators to you guys when we have the end of year results and other moments [indiscernible] like the AGM. As I said, every time we release numbers in the market, they go directly into the dynamic and exciting market that there is here and to our competitors. So we must be careful about how often we release all these numbers. Will any of you be adding to your shareholders at current record bargain base share prices with you clearly being very confident in the future. Also great to see the adverts. They look really sharp and really demonstrate elevate and its use. Well, as you know, we are big supporters of this company where all of us around the table here investing almost to our max in terms of how we can support the company. It is a bargain base price. And if we have funds available, then I'm sure we'll be investing in this exciting time and thank you very much for that.
Sumit Rai: I don't mind saying that I obviously don't have to declare I'm not a Board member, but I believe I was the largest trade buying trade on Monday, and under 2p, it's -- when we talk about shareholder value, we'll judge whether 2p was good shareholder value in the future. To be clear, sorry, we only get the opportunity to buy stock at like 10 days a year. So we get limited opportunity. So the opportunity is there for us at the moment and that's great.
Ian McDonough: Question from Jimmy Louie. I searched the Internet to ascertain the opinions. And what I have seen the opinions are good I'm personally in support of your aims. Thank you, Jimmy. When will elevate be finally ready finished and beautiful. I love the finished part.
Sumit Rai: [indiscernible] behind it. It's an ongoing product. Already, it feels a lot more finished than it did 6 months ago. Those of you who use the product will know how much the last 2 months have meant in terms of its development, in terms of maturity. So we expect that certainly by the end of the product market fit phase, we're going to be in a great position. But even by the end of this year, I think people will be pleasantly surprised at how good it's getting. And that's the feedback we get from a lot of users and a lot of the different focus groups that we remained constant from the beginning of this project, the feedback has been phenomenal in terms of progress.
Ian McDonough: Please describe the play and what to do or [indiscernible].
Sumit Rai: Yes. Quick publish beta is how it's going to be built on the menu. What that allows you to do is a published video of any length in almost no time, in seconds. And it creates a web page with a link and you can share the web page and it also gives you feedback on how many views you have and allows you to clip out the best bits and we share those. So it's a very easy way to distribute your content externally without having to do a render and people downloading and uploading stuff. And obviously, it's very useful for development because we can put the new technology in and roll it out to thousands of people and see what works or what doesn't work.
Ian McDonough: Yes, [indiscernible].
Sumit Rai: Yes. So that's why we've limited it so far. And it will be hard to find, but it will be available to everyone in a few weeks.
Ian McDonough: You've spoken for some time about the uniqueness and strength of Blackbird technology and now elevate.io Given that there has been no major strategic partner or Keystone customer who's really wanted to lean in and commit to being part of this journey. Do you want to look for this type of strategic involvement? Certainly, in terms of the partner, we are doing the development and roll out ourselves. In terms of the customer, I think that's absolutely something that we touched on.
Sumit Rai: Collaborations we're working with organizations in collaboration with them to not only learn deeply about them, but to co-share marketing activities, which is great exposure for both organizations.
Ian McDonough: Question 51. elevate is amazing. Thank you all. SBS. I imagine if you wanted to, you could put your feet up and do whatever you want in life.
Sumit Rai: What do you want to do?
Ian McDonough: What motivates you to develop elevate and what are your ambitions forward?
Sumit Rai: Well, it's very rare you get a chance to change. And right back at the beginning, I invented cloud video editing, but the market was very small. In fact, everyone has always been saying we were too early. But now we've actually got a massive market front billions of billions. And with some [indiscernible] products actually making the tool that meets that need. So I'm very happy to supply the technology for that product.
Ian McDonough: Thank you, Stephen, and thank you. How close are you to releasing AI captions capability?
Sumit Rai: By the end of the year. it could be sooner. We absolutely keen and I released [indiscernible] future tech that's probably the first to market, and sometimes it's not just a race to be first, you've got to do it well because no one implementation of captioning, we feel is good enough for the kind of editor that we're building. So we are doing quite a -- we're doing a good implementation of it. We want to make it so that it really does work to scale, not only for people who just want to capture a small Instagram post, but also somebody who would use it to capture a 2-hour documentary. And we are going to -- the plans for it are going to be very -- going to mean it's to be a very good implementation.
Ian McDonough: And yes, we absolutely know that's fundamental. It's fundamental to expected running of this product. And so we're really focused on it. Statement here, well done on your amazing innovation and total determination. Thank you very much, Philip. Given that next, the next results are 6 months down the road, are you going to give shareholders update on numbers before then? I'll refer back to my answer a few minutes ago, which is these numbers go direct to the competition, and we give out far more numbers than any of our competition do. So I would like to say that probably not. We are going to be doing our [indiscernible]. I'm a professional tax and business adviser. As a consequence, I come across different trades and professions. I'm in favor of initial face-to-face workshops. However, once there's been a minimal level of learning in future, I will consider online updates. How would elevate.io fit in with a live online meeting? Do you want to answer this one?
Sumit Rai: Sure, yes. So yes, we also really, really understand and see the value of face-to-face, especially at the stage that we're at now where we're building our initial customer base. So the -- a few of our initiatives in the last couple of weeks and months have really demonstrated that. So for instance, the events play a big part in this. We've gone to events, and we've been demoing Elevate to so many different people and so many different teams, showing them exactly what's so special about it, how to use it. And that's been really, really effective. It's our first real play at like really just face-to-face, almost white glove type of initiatives. And the reception has just been absolutely incredible. It's been so validating talking to people. And what we've seen coming out of those is that it's very effective in generating leads and actually onboarding people onto the platform. So 100%, we're going to -- we're doing a lot of education. We had our first play at the webinar yesterday, as you know, that's going to improve and develop, and we're going to teach people how to use elevate at this point in time. We're a lean marketing team. But at this point in time, we can really do that. And it's all about educating people, showing them how to get onboard and showing them how to make videos.
Ian McDonough: Thanks Cal. So, a question on EVS. Steve [indiscernible].
Stephen White: Yes. Any update on EVS? Well, there's 2 sides actually to EVS. We did announce in the RNS as well that we have actually been included as part of their offering for the winter games in 2026. So that will happen in Italy early next year. The second side to it is the technology licensing deal. And all I can say at this stage is, yes, EVS have been rolling out [IP] via Create to other customers. But at the moment, we are not in excess of our annual minimum guarantee. But when we are, then we'll let you know.
Ian McDonough: Thanks, Sumit. Ian, you're targeting the U.S. East Coast. Do you have enough people out there to achieve your ambitions? Will you go there to start to push the product? I mean I would say at this stage that we are targeting the East Coast in terms of customers, in terms of [indiscernible]. And yes, we have enough people there to do that. Will I go out there personally? Well, I don't think I need to at this stage, but I was certainly visiting the U.S., I would think in the next few months for different reasons, and I would think very possibly to go to the East Coast. But we have someone on the ground in New York already, and we [indiscernible] on people when necessary when we're doing events. So yes, we have -- we're happy with our team presence over there currently. What is your target for paying users at the end of the product market at this stage? I think this is more about momentum. This is more about engagement and about retention and about conversion into paying users as opposed to absolute numbers. We will know when that stage is reached and it will be very much a case of selling that revenue engine at that particular point in time. Which month will product market fit actually be complete?
Sumit Rai: Yes, I think on the scale, it shows towards the end of February 2026. But again, we -- it's not -- you don't set the date in the diary, it just [indiscernible] what happens. We will produce a bit more guidance obviously around the time and be clear about it. And it also doesn't mean that there is physically a day. I mean it will be a period where we say, okay, this is complete and we're moving forward.
Ian McDonough: When you take on users, do you request data such as student filmmaker charge, et cetera? Maybe you want to build out on this one, [indiscernible].
Sumit Rai: Absolutely, yes. So we have an onboarding survey, and we've had that since the beginning of this year. So we've had that for quite a while. And we have a lot of data about our users, what kind of profile they have, what kind of skill level, what kind of videos they're making and that data has been very valuable, and we use it all the time when we do our analysis. And in addition to that, we also have our access survey. So also when people decide to leave, we also collect data and ask them why. So it's all about learning. It's learning through quantitative data, but also very much through qualitative data. So yes, we're absolutely doing that.
Ian McDonough: Question for Sumit. Will we be able to store our projects in a folder in the near future? And will we be able to duplicate our projects in [indiscernible] copy.
Sumit Rai: Yes. So Team folders comes out today, project being able to access the T media from a project within the media interface is going to trail slightly later and duplicate project is almost ready to go and is obviously a key part of a few things, one of which will be multiple sequences and then being able to have demo projects, which is also tied in to duplicate project. So lots of things in that space coming.
Ian McDonough: I love the next question. When the marketplace is up and running, will there be a merch store so we can purchase those shirts? Great presentation update, confidence restored. Thank you very much, quite happy to hear it, to hear that. Yes, I think not our top priority, obviously, but why not? Cal, any chance you can make a video of a gorgeous setting, just price of a volcano eruption, then post it on your YouTube channel [indiscernible] with elevate advertising course.
Sumit Rai: That is a really good idea. I could have come up with that. We need to do that. We need to do that. We'll scout out locations starting tomorrow.
Ian McDonough: I sometimes think investors don't worry about how complex a development this can be. Perhaps you communicate to investors this is very hard. I think the podcast is going to go a long way to explaining the problems that we're solving, right? That's [indiscernible].
Sumit Rai: Yes. I mean the good news is that the development team who have obviously the core team from Blackbird who've been working on the core engine for a long, long time. But a lot of the people who worked on elevate have only been working for 3 years, including myself. And the one thing that we're very confident about and that we have achieved within the product market fit stage is that we now know how to do everything that we need to know. This, at least for the foreseeable future. There will, of course, be challenges that come down the road when we -- our ambitions widen. But we're very, very confident. But you have to remember, at the beginning of this, we had an idea of how, for example, multiplayer and the multiple courses of conflict resolution would work. We were sure of it that we know it can be done because of adjacent industries, but could be done on the video time line. All of the really important things that we didn't -- we may have had confidence in, but we didn't have the full answer to, we have achieved as part of the space that we're in at the moment. We -- everything we have been scared about has being solved and is working. So now we just have a lot of execution work and tidy up work to get to there and then into scale up and then the process will begin again and then we'll set our ambitions higher and have to go and solve more problems. But the efficiency of the team is absolutely true. And also that their understanding 3 years is some of them less than 3 years and some of them are one of our developers has only been with us a few weeks and already been responsible for the in and out points and the preview player that's been the first piece of work all achieved within -- certainly within the last month. And what's important is that the knowledge within the organization, within the development team of what is the right thing to do is now becoming second nature. And that's really important because this is not a trivial subject. It is a very detailed subject. It's stoked with legacy. It's got nuances that you wouldn't believe. And that's just very obvious, by the way, when you look at the other online video providers, some of the other online competitors, you can tell that they have not understood the video production process because of the way that they've done certain things. And for us, that team is really gelling.
Ian McDonough: Excellent. When would you need your next cash injection, especially as you realize marketing is critical to realizing a large amount of TAM. Again, we answered a little bit earlier where we will be needing cash to scale up, of course, and we will be taking a revenue engine investment case to investors to do that. I think when we can show that fast improvement to the put a pound in and get a profit out, then we have a sound investment case to get to the new investment. Do you have any IP that protects your product from replication? Sumit, maybe you want to take one?
Sumit Rai: Yes, we have quite a few patents for the technology, mostly the compression technology also makes the system very efficient on data as well as responsive and smooth. So yes, we have quite a few there.
Ian McDonough: Question 69. If your new customer growth continues to underwhelm, how will you fund the business? It's easy to detail how you fund the business if everything goes as planned, but with the share price of 1.9, what are the options if slower growth happens. To answer your question, quite frankly, is that we are in an area where we have a huge potential opportunity to provide a return. It is not a risk-free investment. And it might not work. But at this point in time, we've derisked this product to an enormous amount versus where we were 6 months ago when we last spoke to you and certainly 2 years ago when we bought this plan to you. So I would say that we're in a fantastic opportunity to deliver versus where we were. But as I said, it's still not risk-free. Statements. Sumit, we love you and [indiscernible]. So how are we getting the message out that one of the things that elevate apart from the seeming competitors is it's so much more robust and able to do more short videos. I haven't seen this in the market messages. Over to you, Cal.
Unknown Executive: Yes. So how do we get that message across? We get that message across through several different channels, right? You can't just use one channel to say something one time and then expect everybody to learn about that. I do think we speak about that. We talk about that on the website. We talked about that on our blogs. We make YouTube videos where we show how you can create longer-form content, not just vertical shorts on TikTok or anything like that. So if you're just following our Instagram, then that might give that impression that we're focusing on the shorts, but that's just because we're targeting the users on Instagram. If you're looking at our YouTube videos, it's quite a different story. We are showing landscape videos, longer types of formats. So yes, we will continue doing that. We always talk about how incredibly responsive elevate is versus other offerings, and that's really what sets us apart. We're a serious tool that works in the browser.
Ian McDonough: No statements, it looks like the presentation has gone down well. The stock price is up. Well, thank you very much. And so it should be [indiscernible] a broader market. So I'm really pleased that we managed to explain it a little bit. I can't emphasize enough how important the Q&A is to us. Thank you so much for taking the time to speak with us. Very welcome. And yes, I think it's really important because it's not an easy thing to understand sometimes, as Simon said from [indiscernible] and other announcements. So it's really good to be able to talk to you directly. How many paid users are now needed to break even at the current cash burn? And do you have enough for paid users by mid to end of next year? I'd love to be to keep asking you for numbers. I'm not going to give any more numbers out than we have done. We give a lot more out than other companies our stage of development. So I hope you bear with us, and we'll release them when we think is the appropriate time. Share price up 0.25p since your presentation started, maybe a daily presentation work could work wonders. Thank you, Phillip [indiscernible]. Okay. I'm now going to go to question 76, which I think might be the last question. Is the plan to scale and then sell elevate or not? No plans to sell at this stage. We're a listed business, and therefore, we would love to enjoy the growth and rewards that come with being on the market as we grow. But no plans at all to sell the business. Thank you. Anything else anyone would like to add?
Operator: If I may just jump back in there. Thank you very much, guys, for being of your time and addressing all of those questions that came in from investors this morning. And of course, if there are any further questions that do come through, we'll make these available to you afterwards. But Ian, perhaps before, as usual, just really now looking to redirect those on the call to provide you their feedback, which I know is particularly important to yourself and the company. If I could please just ask you for some closing comments, that would be great.
Ian McDonough: Yes. Thank you very much, Jake. I mean I would say that's a very engaged session, and thank you very much for all your questions. We don't think this -- we don't underestimate how engaged you are. We know how important you are to our development. So it's a huge pleasure to be able to talk to you on these occasions. I will just finish by saying that I've never been more confident, more confident in the fact that we've got the right vision. We've got the right product. We've got the right timing, and we've got a huge global opportunity. So I hope you enjoy the light with us. Thank you very much.
Operator: Perfect, Ian. That's great. And thank you all once again for updating investors this morning. Could I please ask investors not to close this session as you will now be automatically redirected for the opportunity to provide your feedback in order the management team can better understand your views and expectations. This will only take a few moments to complete, but I'm sure it will be greatly valued by the company. On behalf of the management team of Blackbird plc, we would like to thank you for attending today's presentation. That now concludes today's session. So good afternoon to you.